Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Erkka Salonen: 00:02 Good day, ladies and gentlemen. I'm Erkka Salonen, I'm from Finnair Investor Relations. And it's my pleasure to welcome you all to this Finnair's Third Quarter twenty twenty one Earnings Call. I have here with me Finnair's CEO, Mr. Topi Manner and he is joined by the CFO, Mr. Mika Stirkkinen for the Q&A session. 00:22 I will now turn this call over to you, Topi. Please go ahead.
Topi Manner: 00:27 Thank you, Erkka, and hello everybody. Welcome to this Q3 earnings call. The big thing related to Finnair Q3 was that the travel restarted, especially in Europe, but while we say that it is important to note that as of today only half of our markets are open effectively European Union as well as UK. 01:01 Now recently, we have been getting good news in terms of long-haul markets also gradually opening. Thailand communicated last week that they will be opening to forty six countries including Finland and Sweden where we are -- from where we are flying to Thailand. And then as we all know, US will be opening for the fully vaccinated on eighth of November. And these two openings mark de facto the opening of our long-haul passenger traffic in November. 01:42 So looking into Q3, it is really worth to note that our operating cash flow turned positive in the Q3 for the first time since the Q4 twenty nineteen. And this happened on the back of passenger numbers rising, especially in Europe, as stated and then the forward-looking bookings increasing consistently through the quarter and especially from the start of September onwards. 02:18 When we look at the pattern of demand currently, we see that it is very much focused on well-known European leisure destinations. So it's very much about leisure traffic. We have seen early steps in the business travel, but so far the business travel is especially focused on Nordics and Northern European destinations. 02:51 During the quarter, we operated approximately one thirty flights per day, still far from the over three hundred flights that we used to operate prior to the pandemic. And currently, our flying crews amount to approximately one thousand employees. So we have been bringing back approximately five hundred pilots and cabin crew from furloughs during the course of August and September and that development certainly will continue during the months to come during the winter. 03:31 We also introduced during the quarter an affordable COVID testing service, and that partially supported the return of the traffic. We are normalizing our customer experience as we speak. We have been opening lounges, we have been introducing a new in-flight service concept in September bringing more choice to our customers. We have restarted the in-flight sales that has been on pause during the pandemic and our customer satisfaction still is high. NPS score in Q3 was forty four. 04:13 Skytrax once again selected us as the best airline in Northern Europe. At the same time, the ramp up of traffic comes with certain challenges, and for the time being, we are seeing those challenges, especially in the call centers where the number of calls per passenger is three-fold or even four-fold in comparison to what it used to be before the pandemic. And even though we have been adding resources in the call centers, the wait times for customers are not what we want them to be. So this is something that we are addressing. We are on the case, but it will be taking a bit of time before we are back in normal course of business in this aspect of customer service. 05:15 We have been also working together with Finavia and the health authorities to ensure a smooth entry for the fully vaccinated travellers at the Helsinki Airport. And there is a fast lane for the fully vaccinated and thereby the customer experience on this aspect has greatly improved during the course of the quarter. 05:39 And entering to Finland is easy. So fully vaccinated people can enter without tests, without quarantine. So it is notably easier than in some other countries in the world. 05:58 Cargo enjoys an exceptionally strong business environment. And this is due to the relatively well known by now global supply chain disruptions. It was a record quarter for cargo once again. And we -- during the quarter, we saw the airfreight prices edging upwards, despite the fact that more passenger flights were added to the global aviation system and thereby the belly cargo capacity also increased on the market. 06:44 Finnair Cargo has been doing very good job in terms of being very reliable and precise, fast, flexible in operations and this is playing to our advantage. And then, therefore, we have been able to capture the market opportunity that has been out there. 07:06We expect that this exceptionally strong demand will continue definitely for Q4 and most likely further into spring and even next summer. The volumes will be there for longer. Then there is, of course, volatility and some uncertainty related to prices and that will remains to be seen that those -- how the prices developed during the course of first half of next year in the cargo space. 07:48 When we look at the Q3 revenue, it landed at approximately two hundred million euros being less than twenty five percent of Q3 levels of twenty nineteen, but at the same time, the revenue doubled from what it was in Q3 last year. If you look closely, you can see that our cost efficiency measures are visible in the P&L despite the heavy losses, and we have been proceeding in the realization of our cost savings program according to plan. And by the end of the year, we have realized two hundred million euros of permanent cost savings as we have communicated previously. 08:46 So the comparable operating result for the quarter landed at minus one hundred and nine million euro, of course, a very heavy loss to bear for us at this point of time, but a step forward in terms of recovering from the pandemic if we compare the operating loss to previous pandemic quarters. 09:16 Our operating cash flow, as stated, turned positive during the quarter for the first time since Q4 twenty nineteen, and that was especially on the back of a positive sales intake that is visible in the working capital change that turned to positive. So the operating cash flow was twenty seven million euro positive for the quarter. And on top of that, we did a sizable sale and leaseback transaction for Airbus A350s the biggest sale and leaseback transaction in the history of Finnair. And with that, we raised four hundred million euro of fresh debt. 10:07 At the end of the quarter, our cash funds stood at close to one point two billion euros. And on top of that, we have the undrawn hybrid loan of four hundred million euro, meaning, that our cash reserves are strong at this point of time. The reason for us doing the sale and leaseback transaction was two-fold. First of all, we got a good deal, the kind of deal that met all the criteria that we had for sale and leaseback transactions. 10:45 And secondly, with the deal, we wanted to get ready well ahead of time for debt maturing in twenty twenty two. So while the loan and lease repayments in twenty twenty two will amount to some six hundred million euro and with these cash reserves, with these turn in operating cash flow that we estimate to continue during Q4, we are well prepared to meet those obligations during the course of next year. 11:30 So on the back of the heavy losses and on the back of the prolonged pandemic, our equity ratio has been taking a hit and we landed at fourteen percent in terms of equity ratio at the end of the quarter. The gearing has been increasing, it’s approximately two eighty percent at this point of time. But then we need to remember that four hundred million euro state hybrid indeed remains undrawn and that will strengthen and stabilize the balance sheet and it is foreseeable that we will gradually draw on that hybrid loan entrenches during the months to come. 12:24 The world indeed is opening for the fully vaccinated. So Thailand and United States are opening now in November, just in time for us to start also the Stockholm Arlanda operations for these two markets. We have now flown the very first flights from Stockholm Arlanda and that is a noteworthy opening for Finnair in the midst of the pandemic as moving into a completely -- completely new market and taking advantage of changes in the competitive landscape in Stockholm Arlanda. 13:07 We have now opened Bangkok, Phuket and Miami from Stockholm Arlanda. And later in November and December, we will be opening New York as well as Los Angeles. These five long-haul destinations basically mean that we are measured with destinations, we are the biggest long-haul carrier in Stockholm Arlanda. So it is a noteworthy development also from the Arlanda perspective and from the Swedish aviation market perspective. 13:48 We are now ramping up our capacity, we will be during the course of the winter flying approximately sixty five percent of our capacity, strong network in Europe. We are flying to New York, Chicago, Los Angeles and Miami from Helsinki. We are doing daily flights to Tokyo, Seoul, Bangkok and multiple weekly frequencies from Helsinki to Hong Kong, Osaka and then Singapore. And we are also ensuring good connections to Finnish Lapland to support the winter tourism. And the outlook for winter tourism in Lapland is encouraging at this point of time, still relatively early in the game, but encouraging as of now, and we certainly see that Finland as a destination seems to be attractive for travelers post-pandemic. 14:53 Asian opening will be slow and then that will also mean that we estimate that our operating losses will continue during first half of twenty twenty two. When we look at Asia market-by-market, the opening of Thailand is noteworthy, as stated. Also, Singapore opening to some ten countries with vaccinated travel lanes is noteworthy, although Finland is not part of those market as of now, but we are in discussions to be opened later and we understand that Singapore government plans to extend the list of vaccinated travel lanes during the next period. 15:50 We also have taken note of Australia opening in November for international traffic. In Japan, the vaccination progress has been good lately. And now, Japan is on the same levels of fully vaccinated people as many EU countries and thereby by definition, they have the prerequisites for opening international travel. The new Prime Minister has communicated as his political priority the opening of the economy and we expect that some movement will be happening in this space after the November elections in Japan. 16:43 China, we estimate won't be opening for international traffic basically during the first half of twenty twenty two. So the opening will be happening from early second half onwards. Hong Kong most likely will be following suits with Mainland China, and in South Korea, the situation is somewhat similar to Japan. Good vaccination coverage has been increasing rapidly lately, and internally, they are lifting many of the curbs from beginning of November onwards. 17:32 And then we have taken note of Singapore opening a vaccinated travel lane with South Korea from fifteenth of November onwards. And then not being part of the list here is India that is opening for scheduled commercial flights from fifteenth of November onwards. 17:58 And on the right hand side of the picture, you have our sort of long-haul seats in twenty nineteen to our long-haul markets. And that clearly indicates that Japan by far is the most important of our long-haul markets followed by China. But then United States and Thailand are very important markets to us as well. And those twenty nineteen seats, of course, excluding the Arlanda flights that we have just now started, so that enables you to have a view of what is the importance of US and Thailand for -- as markets for us. 18:46 We have been working on our strategy and we have been doing updates to our strategy. Taking sort of more longer-term perspective, we are ready to capture market growth and grow in-line with the market. We want to position ourselves as a modern premium airline bringing choice to our customers, changing retailing and distribution, increasing notably the share of direct distribution, which has already taken place during the course of the pandemic and it's very visible in our marketing efforts during the past couple of months. 19:32 Now during the next couple of months, we will be taking significant steps forward in this -- in realizing this modern premium position once that will be a landmark step will be that the new main terminal in Helsinki Airport will be opened on first of December by Finavia, the airport operator, and that certainly will be part of the modern premium experience for our customers. And then, we are also getting ready to launch early next year the new premium economy cabin and new premium economy travel class, which is a big part of our modern premium positioning. 20:26 The cost efficiency measures will continue. We aim for continuous improvement further automization of our processes and as stated moving more towards digital distribution and direct distribution, which in turn will have an improving impact on our distribution costs. And sustainability definitely will be at the core of our strategy. 21:00 So these are some of the steps that we will be taking with our strategy, giving you a bit of flavor that what is happening on that space. We will come back to this in more detail during the course of the spring and we will publish also new financial targets once there is more visibility to Asian markets opening and us having a more granular view in terms of what will be the timing of the opening in those markets. 21:39 So coming back to our outlook and guidance. Despite the good business momentum in cargo, despite of us gradually having increasing numbers of passengers and thereby increasing revenue, we see that the Q4 operating loss will be of same magnitude than it was in Q3. The travel restrictions continue to take toll during Q4 and also the fact that we are increasing traffic means that there will be costs associated with that ramp-up of capacity. And then certainly also the increasing price of jet fuel plays a role and there you need to remember that we are not hedged to the extent that we used to be before the pandemic. 22:41 And when we look into year twenty twenty two, we expect the operating losses as stated to continue during the first half and then during the second half of twenty twenty two from July onwards, we expect to be closer to the pre-pandemic operating environment, while we still believe that the capacity measured by ASKs will return to pre-pandemic levels in twenty twenty three. 23:23 So I guess that that is in a nutshell the Q3 of Finnair, and as stated, it's good to see the traffic being restarted and it's good to see the passenger numbers basically being increasing by the day. Thank you.
Erkka Salonen: 23:42 Thank you, Topi. Now would be a convenient time for questions you may have. So, please go ahead.
Operator: 23:51 [Operator Instructions] Our first question comes from the line of Pasi Vaisanen of Nordea. Please go ahead.
Pasi Vaisanen: 24:08 Great. Thanks. This is Pasi from Nordea. Well, to start with this financing, I mean do you have that undrawn four hundred million euro hybrid loan still, and I guess it's going to be taken in late this year, but is it going to be executed or taken at full amount or only a part of that? 24:30 And then secondly, related to the sales leaseback deal you made. Well, actually were these planes sold at the book value or were there are any gains related to transact? And how much actually your lease expenses are then going to be up on quarterly basis? And what is that amount? And is it going to be booked total interest expense item overall? 24:54 And maybe lastly, regarding this kind of sales leaseback we're looking at the future, do you still have a target or will to own your planes or have those in your own balance sheet or should we expect that this lease is practically leasing is the way forward? Thanks.
Mika Stirkkinen: 25:15 Thank you, Pasi, and thank you for asking so many questions at one go. I try to remember. So, I start with the sale and leaseback potential. So we still have unencumbered aircraft. But for now, we have done the transactions. Never say never but that -- in the foreseeable future, we don't contemplate doing any additional transactions that's due to the fact that we had at the quarter end almost one point two billion euro of cash and then on top of that guaranteed three hundred and fifty million euro for state hybrid loan. 25:56 We don't disclose the cost of the transaction, i.e., we don't disclose how much -- how big the lease payments will be. However, we will split the leases to two components. As you know, those are treated as right of use assets and liabilities. And then, there is the distribution, sorry, depreciation part for the old -- the asset side and then repayment -- and debt repayment and interest payment part -- interest cost for the liability part. So it's treated as debt in the balance sheet. 26:44 On the gain, there were some miniscule gain in the books, so one digit in million. So -- but I can't disclose more about that. You can -- I guess you can find it if you dig deep into the books. So nothing material.
Pasi Vaisanen: 27:06 And then the hybrid?
Mika Stirkkinen: 27:08 Hybrid loan.
Pasi Vaisanen: 27:09 [indiscernible]
Mika Stirkkinen: 27:12 No, not in full. If there is a need, so we would most likely draw in fifty million euro in the cals, so that's [Multiple Speaker] with the counterpart.
Pasi Vaisanen: 27:27 Okay.
Topi Manner: 27:28 And then just two quick comments on this one. First on related to the unencumbered aircraft so approximately one-third on roundabout terms of our aircraft book value is unencumbered and the aircraft book value is a little bit more than one point nine billion euro. So that's good to keep in mind and understand. 28:00 And then secondly, as Mika rightly pointed out, of the hybrid loan -- of the four hundred million euro hybrid loan we have an EU Commission approval for three hundred and fifty million euro and we are in the process and we have been for some time in the process for the remaining fifty million euro . We are comfortable with the remaining fifty million euro in terms of getting the permission, but the queues at the EU Commission are quite long. So that has been impacting the timeline in terms of getting that permission.
Pasi Vaisanen: 28:42 Okay. Great. Thanks. That's fully understood. And if I may still one question lastly here. Related to ticket pricing, I mean, do you have any comments or kind of a view for the pricing or yields in terms of kind of how the demand and capacity balance in the air traffic in Europe or in global basis has been going forward in the third quarter or maybe -- or even on the fourth quarter? Thanks.
Mika Stirkkinen: 29:13 I will comment only Finnair's pricing now so -- and basically only about the H2. So, we are now in the mode where we are promoting traffic with low yields and going forward especially for November that will continue, since November is seasonally one of the -- its weakest or second weakest month of the year. But after November we will gradually move towards small more normal pricing. 29:58 However, we might occasionally promote certain roads, certain destinations, so that where we want to have a pickup in demand, but we are gradually moving towards more traditional revenue management. So -- but you will see lower than typical yields from us. But there is also the fact that we have at the moment less long-haul flying than typically and that's one of the drivers there because that long-haul yield might be four times, three point five times as high as the short-haul yields hence the mix effect plays the role, so it will be a trigger for you to you to analyze it, but unfortunately I can't give you more exact answers here.
Pasi Vaisanen: 30:50 Okay. I understand. I hear you. That was all from my side. Thanks.
Operator: 30:56 Our next question comes from the line of Jaakko Tyrvainene of SEB. Please go ahead.
Jaakko Tyrvainen: 31:04 Yes, good afternoon, gentlemen. Regarding the Q3 relatively good profitability and then the operating profit came in somewhat better than you indicated in touch with Q2 and what the analysts had expected. What were the most meaningful impacting factors to this improving profitability development that surprised you positively? Was it volumes, yield or the cost level?
Topi Manner: 31:38 Sorry, what was the last one, volumes, yield or?
Jaakko Tyrvainen: 31:42 The cost level.
Topi Manner: 31:43 Cost level. Yeah. I think many things contributed to that. So first one to note is cargo. Cargo had an exceptionally strong quarter, a record quarter. And then I think that when you look close enough in Q3 result despite the heavy operating loss, the cost savings measures that we have realized are visible in that result. And then when we guided for Q3, the visibility to a passenger revenue was sort of very fuzzy at that point of time because the customer booking behavior has been very, very late. So therefore, the volume of -- or the number of passengers was also something that sort of -- with a notch increased our own expectations.
Jaakko Tyrvainen: 33:08 Okay. Excellent. Thank you. Then a bit forward-looking. If we look at the, let's say, next six months, will you prefer kind of opening more routes and frequencies, although this might come with a still relatively low load factors or would you rather maximize profit i.e. the load factors?
Topi Manner: 33:33 Yes, I think this is a little bit two-fold answer to this one. When we look at the European network, we have been now announcing our winter schedule and we are happy with that winter schedule. So in order for us to be able to increase the European flights, we would need to first see Asian markets to be open for travel and some of the transfer traffic to come back which in turn would be reflected in European traffic. So in European traffic, we will be very mindful of loads and profitability. 34:23 In the long-haul traffic, we definitely will be mindful of the profitability as well. But there the picture is a bit more diverse. In those markets where we are opening -- in those markets like US and Thailand, which are opening for passenger traffic, then we will be sort of utilizing normal business practices, so to speak. 34:51 In some of the other markets like Japan for the time being, China for the time being, Hong Kong, we will be very focused on being cash positive with our flights. But that cash positiveness is very much driven by cargo at this point of time. So cargo actually driving some of the scheduled flights will have a dampening impact on the average loads as well.
Jaakko Tyrvainen: 35:36 Okay. Thanks. And that pretty much answers to my kind of follow-up here, which would have been that will there -- are you seeing enough cargo demand in order to ramp up more capacity as you are planning to these new destinations, for example, Japan. So will there be enough cargo to have kind of a flight-specific gross profit on those flights?
Topi Manner: 36:04 Yes. We are very focused on following up the flight-specific gross profit so that we meet and exceed the variable cost of the flight and cargo has been greatly helpful in that one. And so the booking window for cargo is short, but we estimate that the business momentum in cargo business will continue to be very strong, at least during the Q4, but most likely also going into spring and even next summer.
Jaakko Tyrvainen: 36:46 Okay. Thanks. And then lastly, could you give us any indications or reflections on the North American traveling and early opening of Arlanda hub, meaning that you must have some visibility towards the booking curve there now?
Topi Manner: 37:08 Yes. During the past couple of weeks, we have been seeing a clear pickup in the US bookings both from Helsinki and from Arlanda. And now when the date of eighth of November was confirmed a bit more than a week ago that sort of booking increase has accelerated, and as late as yesterday evening, we got the sort of final specifications from US government to the entry rules in the country. There are no surprises. Effectively, you need to take a pre-departure test either a PCR test or antigen test as fully vaccinated. And then you can -- then you can enter to country without quarantines. So the specifications were according to our expectations and we estimate that now when customers have full clarity on entry rules that will further promote the bookings, both for Helsinki as well as for Arlanda in terms of the US flights.
Jaakko Tyrvainen: 38:23 Okay, excellent. Thank you. That's all from my side.
Topi Manner: 38:26 Thank you.
Operator: 38:27 Our next question comes from the line of Achal Kumar of HSBC. Please go ahead.
Achal Kumar: 38:34 Hi, gentlemen. Thank you for taking my questions. I have a few questions. First of all, I think last time you mentioned that your cash flow should turn positive a month or two before your EBITDA turned positive and now your cash flows have turned positive. So should we expect the EBITDA to turn positive in the next quarter?
Mika Stirkkinen: 38:58 Mika here. So, you should read our guidance. So, what we are saying is that, cash flow is -- we expect cash flow to be positive and comp EBIT being at the same magnitude as during Q3. That's unfortunately the only thing I can tell you.
Achal Kumar: 39:22 Okay. So does that means the situation has changed now, because your EBITDA was sort of slightly negative in the Q3 and then we should not -- EBITDA to be positive in Q4 [Multiple Speaker].
Mika Stirkkinen: 39:32 I'm not saying about the monthly level EBITDAs. I'm talking about the quarters.
Achal Kumar: 39:38 Right. Okay. Perfect. The other question I wanted to understand about the competitive landscape. Of course, now you've started base in Arlanda and -- which is, of course, the hub for Scandinavia. And now you're going to start flights to other locations. So how do you see the competitive reaction from Scandinavian airlines on that side?
Topi Manner: 40:09 Well, SAS and I think that their new CEO has been pretty clear about this in some media interviews. They are very much focusing on European short-haul as part of their new strategy. And actually our head-on competition with SAS from Stockholm Arlanda is little bit less than you would probably think because SAS is not flying to Bangkok, they are not flying to Phuket, they are not flying to Miami, they are not flying to Los Angeles from Arlanda. So, we are only head on competing with SAS from Stockholm Arlanda when it comes to New York route as of now. And as stated, we have read from the media interviews that they are not planning to introduce services for example to Bangkok.
Achal Kumar: 41:19 Right. Fair enough. The other thing I also wanted to understand about your cost savings. So you have targeted two hundred million euro of cost savings. How much of those do you think would be sustainable even after the business go back to the normal levels? And then what is the progress as of now?
Topi Manner: 41:46 Yes. I mean the two hundred million euro cost savings, the cost savings program, we are -- we have a very diligent follow-up on those cost savings and those cost savings should be permanent in a sense that those costs should not come back and seventy five million euro of those costs are fixed cost savings, the remainder are variable unit cost savings and thereby they move with the volume and the two hundred million euro sum is being calculated with twenty nineteen volumes. 42:32 So, then of course the absolute amount of savings for example related to twenty twenty two will be dependent on the actual volume that we will be flying in twenty nineteen. So that is the logic of our cost savings. And we maintain a strong discipline in order to avoid cost drift going forward, meaning, that we want to safeguard that these two hundred million euro will be as stated permanent cost savings.
Achal Kumar: 43:14 Right. Fair enough. The other thing also, so you mentioned that you expect operating losses during the first half of next year, any color, any guidance on sort of quantum of those losses. I mean, are you expecting significant improvement from this year or how -- what sort of quantum are you expecting?
Mika Stirkkinen: 43:41 What I want to emphasize there is that we are stating that during H1 i.e., both quarters are foreseen to be negative. And another thing I want to emphasize that we are still ramping up and the Asia is gradually -- we expect Asia to be gradually opening in Q1 and Q2. Hence, Q1 will be deeper in losses than Q2.
Topi Manner: 44:12 Yes. Q1 being seasonally also the weakest quarter. And then as per the guidance, we are estimating that during the second half we will be closer to the pre-pandemic operating environment. And I'm sure that you have noted also our guidance in terms of how we currently with all the uncertainties that exist see the possible opening and the timeline of possible opening related to China.
Achal Kumar: 44:53 Okay. Fine. Thank you. Last question from my side. So you -- just how you mention that the ticket pricing remains low. I mean, of course, you are trying to more the traffic and then hence gaining with the lower traffic, lower tariff, low fares. So in terms of yield, I mean, could you also give us a bit of a sense as to which side of the business? I mean are you looking better yields in the European side or do you think the yields could look better on the North Atlantic routes? So in terms of yield, I mean, if you could give us a bit of a sense as to which -- where you think yields to be normalizing faster and then where the yields will remain sort of soft going ahead probably in the next six months.
Mika Stirkkinen: 45:52 I think I answered quite a lot when Pasi asked about this. So it's a question of the opening -- opening up the traffic in Asia, because when we get the transfer traffic in place operating properly, then we can truly start revenue managing our business. And when we are in that situation, when we have during peak weeks, peak days over demand versus our capacity then you will be able to see a clear pickup in yields. But we are not there with the exception of Christmas peak. We will hopefully see some nice yields, but for a kind of extended period seeing higher nicer yields, it will take some time still.
Achal Kumar: 46:51 Okay, Perfect. Thank you so much.
Topi Manner: 46:54 Thank you.
Operator: 46:55 [Operator Instructions] And there are no further -- correction, we have a question from the line of Andrew Lobbenberg of HSBC. Please go ahead.
Andrew Lobbenberg: 47:17 Hi there, and apologies if you addressed this earlier in the presentation because I wasn't on for the very start of it, but I'm just curious to see how you're thinking of the Arlanda venture with the long-haul flying. I mean if it -- I mean, I totally see the logic given the delay in opening up of Asia, but as and when Asia does re-open do you think there are circumstances where you'll sustain operations out of Arlanda or is it definitely temporary? And how will you manage that? 47:52 And then another question would just be, I think Rynair putting some capacity into Finland, how concerning is that? And then just a final one and it's a very trivial one. You mentioned that there was some encouraging bookings into Lapland, I'm guessing that's Europe only, just looking for clarification on that. Thanks.
Topi Manner: 48:14 Okay. So when we come to Arlanda, so as stated, we have been seeing an opportunity in the market, I say yes, focusing their long-haul operations to Copenhagen hub instead of Stockholm Arlanda. And then Norwegian basically in their debt restructuring process selling off the whole wide-body fleet and thereby not doing long-haul operations from Stockholm Arlanda either. 48:50 So that was the opportunity that we saw and decided to go for it. And when we -- when we do that, we of course will be very focused on the profitability of that part of the business and profitability of those routes. We will be applying same standards that we are applying to any other route. Provided that these routes from Stockholm Arlanda will be profitable, we certainly stand ready to stay on the market for the long run so that is an active option for us. And we are working in earnest to make those routes profitable so that we can stay on the market over the longer run. 49:45 And then when you look at our capacity what you will need to remember is that, we have three Airbus 350s coming up during the next couple of years, so our long-haul capacity will be increasing and therefore we see that it is possible for us to come back to pre-pandemic levels in terms of Helsinki long-haul network, while still continuing to operate Arlanda. 50:17 And then to the question of Ryanair, yes, they have been -- they have been announcing that they will be flying a handful of routes to and from Helsinki. But they are not placing any aircraft to Helsinki. So they are not setting up a base at least with current information. And so far it has been relatively silent in terms of their operations to Helsinki. So we, of course, are keenly observing in terms of how their plans unfold and what kind of steps will they take on this market. But as of now, there is not that much to report. And then the Lapland question, Mika, do you want to take that?
Mika Stirkkinen: 51:17 Yes, It's Europe. Domestic Finland and Europe.
Andrew Lobbenberg: 51:26 Makes sense. Thanks. And thank you for the clarity on Stockholm. That is all in a perfectly sensible sense. That's very sensible. Thank you.
Topi Manner: 51:34 Thank you, Andrew.
Operator: 51:37 And there are no further questions at this time. Please go ahead, speakers.
Erkka Salonen: 51:43 Yes. Thanks for joining the call and we would like to wish you a great day.
Mika Stirkkinen: 51:51 Thank you very much.
Topi Manner: 51:52 Thank you. Bye-bye.